Operator: Good day, ladies and gentlemen, and welcome to the third quarter 2014 The Hanover Insurance Group Incorporated earnings conference call. My name is Denise and I’ll be the operator for today. At this time, all participants are in a listen–only mode. Later we will conduct a question–and–answer session. (Operator Instructions) As a reminder this conference is being recorded for replay purposes. I would now turn the conference over to Oksana Lukasheva, Vice President, Investor Relations. Please proceed.
Oksana Lukasheva: Thank you, Denise. Good morning and thank you for joining us for our third quarter conference call. We will begin today’s call with prepared remarks from Fred Eppinger, our President and Chief Executive Officer; and David Greenfield, our Executive Vice President and CFO. Available to answer your questions after our prepared remarks are Andrew Robinson, President of Specialty Lines; Mark Desrochers, President of Personal Lines; Jack Roche, President of Business Insurance; and Bob Stuchbery, President of International Operations and Chief Executive Officer of Chaucer. Before I turn the call over to Fred, let me note that our earnings press release, financial supplements and a complete slide presentation for today’s call are available in the Investors section on our website at www.hanover.com. After the presentation, we will answer questions in the Q&A session. Our prepared remarks and responses to your questions today other than statements of historical facts include forward–looking statements, including our earnings guidance for 2014. There are certain factors that could cause actual results to differ materially from those anticipated by this press release, slide presentation and conference call. We caution you with respect to reliance on forward–looking statements and in this respect refer you to the forward–looking statement section in our press release, slide 2 of the presentation deck and our filings with the SEC. Today’s discussion will also reference certain non–GAAP financial measures such as operating income, operating results excluding the impact of catastrophes and accident year loss and combined ratios excluding catastrophes, among others. A reconciliation of these non–GAAP financial measures to the closest GAAP measure on a historical basis can be found in the press release or the financial supplements, which are posted on our website, as I mentioned earlier. With those comments, I will turn the call over to Fred.
Fred Eppinger: Thank you, Oksana. Good morning, everybody, and thank you for joining our third quarter earnings call. We are very pleased with the third quarter results as well as the progress we are making with respect to our key strategic priorities and our improving results and market momentum is beginning to demonstrate the growing value of our differentiated market position. While we were challenged by some severe weather in one of our largest markets, we enjoyed improved accident year margins in each of our segments, good growth supported by solid pricing trends and increased retention. The main highlights of our quarter include building growth momentum and continuing underlying margin traction in Personal Lines, improving margin in Commercial Lines along with continued profitable growth and another strong quarter at Chaucer. With yearend approaching and as we finalize our planning for 2015, we feel very good about our improvements we’ve made and the positive trends we’ve established, which brings our goal to generate top quartile performance closer within reach. I will now turn the call over to David to review our financials. And after that, I will come back to discuss our position within the industry and provide a longer-term perspective of our performance and our outlook for the fourth quarter.
David Greenfield: Net income for the quarter was $55 million or $1.22 per diluted share compared to $61 million or $1.37 per diluted share in the prior-year quarter. Operating income was $48 million in the quarter or $1.06 per diluted share compared to $61 million or $1.36 per diluted share in the third quarter of last year. Moving on to accident year loss ratios excluding catastrophe losses; in our domestic business, the loss ratio improved by nearly 3 points to 59% in the third quarter of 2014. In Commercial Lines, the more than 2-point improvement resulted from far better loss experience in Other Commercial Lines and to a lesser expense in Commercial Auto. In Other Commercial Lines, which included our specialty businesses, the ratio improved by more than 6 points over the prior-year quarter. This was driven by previous and ongoing mix management and pricing actions. Specialty business maturation and organic growth should continue to drive margin accretion in this segment. Moving on to accident year loss ratios excluding catastrophe losses; in our domestic business, the loss ratio improved by nearly 3 points to 59% in the third quarter of 2014. In Commercial Lines, the more than 2-point improvement resulted from far better loss experience in Other Commercial Lines and to a lesser expense in Commercial Auto. In Other Commercial Lines, which included our specialty businesses, the ratio improved by more than 6 points over the prior-year quarter. This was driven by previous and ongoing mix management and pricing actions. Specialty business maturation and organic growth should continue to drive margin accretion in this segment. Moving on to accident year loss ratios excluding catastrophe losses; in our domestic business, the loss ratio improved by nearly 3 points to 59% in the third quarter of 2014. In Commercial Lines, the more than 2-point improvement resulted from far better loss experience in Other Commercial Lines and to a lesser expense in Commercial Auto. In Other Commercial Lines, which included our specialty businesses, the ratio improved by more than 6 points over the prior-year quarter. This was driven by previous and ongoing mix management and pricing actions. Specialty business maturation and organic growth should continue to drive margin accretion in this segment. Moving on, expenses in our domestic businesses were little changed compared to the prior-year quarter. We achieved a modest improvement in the Commercial Lines expense ratio. This was driven by increased premium volume and operating efficiencies. And while expenses can sometimes vary from quarter to quarter, we remain on track to achieve the target of 1 point improvement in Commercial Lines for 2014. While a lower earned premium base in Personal Lines continues to impact the expense ratio, our return to growth in this line should relieve that pressure and we continue to expect the full-year ratio to be fundamentally in line with 2013. Finally, Chaucer’s net written premium increased 4%, primarily reflecting increased new business writings in Casualty and other due to the new team that joined us in late 2013. As the market condition in Lloyd’s continues to be challenging our efforts are strongly based on balancing our conservative appetite with the need to maintain and enhance our underwriting leadership and relationships with brokers. Turning to investment results, net investment income this quarter was $68 million, $2 million higher than the prior-year quarter. The prolonged low-interest rate environment continues to put pressure on investment income, though we have countered that with positive operating cash flows and changes in the portfolio mix towards equities and other instruments. The earned yield on our fixed maturity portfolio was 3.68% in the quarter compared to 3.99% in the prior-year quarter and 3.74% in the second quarter of 2014. At September 30, 2014, cash in invested assets were $8.5 billion with fixed-income securities and cash representing 91% of the total. 94% of our fixed income portfolio is investment grade and the average duration of the portfolio is 4.2 years.
Fred Eppinger: Overall, our third quarter results are a very strong indication that our strategy and approach to the business are the right ones for us. As we had previously mentioned, we built our company to perform well at all stages of market cycle, which now puts us in a favorable position as we continue to capitalize on market disruption. Operator, can you now please open the line for questions?
Operator:
Fred Eppinger: Good morning, Vincent.
Vincent DeAugustino – Keefe, Bruyette & Woods, Inc.: Good morning, how are you guys doing today?
Fred Eppinger: Good.
David Greenfield: Very well, thank you.
Vincent DeAugustino – Keefe, Bruyette & Woods, Inc.:
Fred Eppinger: There may be like you mentioned this morning that are starting to invest in it but it’s a very nice market for us, because these are businesses or accounts if you will that agents have served for a long time, but in some ways they have been underserved because of the technology abilities of these regional companies or the features that they have, the ability to tailor if you will the solution for that mid-size account that has multiple things.
Vincent DeAugustino – Keefe, Bruyette & Woods, Inc.:
Bob Stuchbery:
Vincent DeAugustino – Keefe, Bruyette & Woods, Inc.:
Bob Stuchbery:
Vincent DeAugustino – Keefe, Bruyette & Woods, Inc.:
Bob Stuchbery: The reality is that affected airlines are obviously being – seeing those increases but across the marketplace it’s pretty at the moment, we’re not seeing those signs come through. The other thing I talked about on the last quarter’s call was aviation war, where we would expect to see rates to be going up and this is the area that we started to underwrite from around the 1st of April this year. So our expectations of rates increasing in that sector have definitely been fulfilled but across the main aviation airline rates aren’t moving up much at all.
Vincent DeAugustino – Keefe, Bruyette & Woods, Inc.: Okay, all right, thanks everyone.
Fred Eppinger: Thanks Vincent.
Operator: Our next questions from Dan Farrell with Sterne Agee. Please proceed.
Fred Eppinger: Hi Dan.
David Greenfield: Good morning.
Dan Farrell – Sterne Agee:
Fred Eppinger: But I – again as I said in our investor day, we’re not going to play in every segment in the business but we love our segment that we’re in and we think that there is some nice profitable growth for us to continue with. But I – again as I said in our investor day, we’re not going to play in every segment in the business but we love our segment that we’re in and we think that there is some nice profitable growth for us to continue with. But I – again as I said in our investor day, we’re not going to play in every segment in the business but we love our segment that we’re in and we think that there is some nice profitable growth for us to continue with.
Dan Farrell – Sterne Agee:
Fred Eppinger:
Jack Roche: Yeah, predominantly a tough comparison. If you look at the third quarter of ‘13 we had our best quarter in two years, so that was a bit of a tough comparison. But also the CPT line tends to be bumpy and so even beyond the weather you’re going to have – as you have seen from some of our competitors you’re going to have some losses that show up in whatever quarter they show up on. But over the three-year period we like the trend in this line and we don’t expect this line to be anything but one of our contributors to our profitability.
Fred Eppinger: And we’ve seen very good stable pricing, so we’re in a segment – this is one of those places where you’ve heard the market a little bit at the very high end and property coming under pressure, our segment we’re getting nice price increases in that line so don’t see any kind of trend that scares us at all on it.
Dan Farrell – Sterne Agee: Okay, great, thanks guys.
Jack Roche:
Operator:
Vincent DeAugustino – Keefe, Bruyette & Woods, Inc.: Hi, good morning again guys.
Fred Eppinger: Hi Vincent.
Vincent DeAugustino – Keefe, Bruyette & Woods, Inc.:
Fred Eppinger: So I am going to let Jack follow up.
Vincent DeAugustino – Keefe, Bruyette & Woods, Inc.: Perfect.
Fred Eppinger:
Jack Roche:
Fred Eppinger: And as you know in middle [little] (ph) market, or what we call [schmiddle] (ph) (indiscernible) to middle our industry solutions like TAP have been very successful for us and those are very effective for us to write multiple lines because of those industry solutions so that’s been very successful and will continue to be for us I think.
Jack Roche:
Vincent DeAugustino – Keefe, Bruyette & Woods, Inc.:
David Greenfield: Yeah, no incremental thought change, absolutely as you said if you remember back in August the markets were extremely volatile just as they are today but we did see a drop in the price and we used the opportunity to do some open market purchases and again we – I always say we do have a minimum level of repurchase that we build into our plan each year and this is consistent with what our expectations were for the year.
Vincent DeAugustino – Keefe, Bruyette & Woods, Inc.: Okay, so we should think about 400,000 as the maintenance level, around it?
David Greenfield: Yeah, or dollar terms around 20 – to $20 million.
Vincent DeAugustino – Keefe, Bruyette & Woods, Inc.:
David Greenfield: Okay. Thank you Vincent.
Operator:
Oksana Lukasheva: Thank you everybody for your participation today and we are looking forward to talking to you next quarter.
Operator: This concludes today’s conference call. You may now disconnect.